Analyst: Steve Kent - Goldman Sachs Felicia Hendrix - Lehman Brothers William Truelove - UBS David Katz - Oppenheimer Jeff Donnelly - Wachovia Joe Greff - JP Morgan Michael Millman - Soleil Securities Alex Leblanc - Key Colony Funds
Operator: Ladies and gentlemen thank you for standing by and good morning and welcome to the Choice Hotels International second quarter 2008 earnings Conference call. At this time all lines are in a listen-only mode. Later there will be a question and answer session and further instructions will be given at that time. [Operator Instructions]. As a reminder today’s call is being recorded. During the course of this conference call certain predictive or forward-looking statements will be used to assist you in understanding the company and its results which constitute forward-looking statements under the Safe Harbor provision of the Securities Reform Act Of 1995. These forward-looking statements generally can be identified by phrases such as choice or its management beliefs, expects anticipates, foresees, forecast, estimates or other words or phrases of similar import. Such statements are subject to risk and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Please consult the company’s Form 10-K for the year-end at December 31, 2007 and its other SEC filings for information about important risk factors affecting the company that you should consider. Although we believe that the expectations reflected in the forward-looking statements are reasonable we cannot guarantee future results levels of activity performance or achievements. We caution you do not place under reliance on forward-looking statements which reflect our analysis only and speak only as of today’s date. We undertake no obligation to publicly update our forward-looking statements to reflect subsequent events or circumstances. You can find a reconciliation of our non-GAAP financial measures referred to in our remark as part of our second quarter 2008 earnings press release, which is posted on our website at choicehotels.com under the Investor Information Section. With that being said, I’d now like to introduce Steve Joyce, President and Chief Executive Officer of Choice Hotels International Incorporated. Please go ahead, sir.
Stephen P. Joyce - President and Chief Executive Officer: Good morning and welcome to our second quarter 2008 earnings conference call. With me this morning is Dave White our Chief Financial Officer. I am delighted to be here today for my first earnings call as Choice’s Chief Executive Officer. Before getting into the second quarter results, I would like to share some of my initial observations from my first few months here. Since coming on board at the beginning of May I have had the opportunity to get up to speed on most areas of the company. I can tell you that we have a great platform, engaged associates and a number of exciting opportunities that I believe can fuel our growth in the future. In May, June and July I traveled across the country staying in our hotels and meeting with associates existing and potential franchises and investors. I visited more than 10 cities including staffs at our two primary call centers in Grand Junction Colorado and Minot, North Dakota. At the call canters I had the opportunity to listen to great reservation calls from our guests to our hotels and to hear first hand how consumer shop for and how we sell our rooms on behalf of our franchisees. I am extremely impressed with the people I’ve met and excited about the opportunities to grow the company. Today Choice has 10 segmented well recognized brands that are appealing to both developers and consumers. For developers, we have brands that are appropriate for really various stages of the long life cycle of a hotel outset. For consumers we provide a wide range of high quality value oriented lodging options around the globe. There is a tremendous atmosphere here and a great level of engagement across the company. We have a very strong management team in place that I think compares favorably to teams at other hotel companies. I had no plans for any radical departure from our current strategy as a pure franchisor that has limited investments, high return on invested capital and a practice of returning value to the shareholders through stock purchase and dividends. But, there are exciting opportunities to build and expand upon our successful franchise business model that has enabled us to profitably grow up with the past decade. I see a number of opportunities both in the US and aboard to profitably grow the business over the long term. Two key areas that I will initially focus on are emerging brands and our international presence.
. : I am pleased that with the support of our board of directors, we will be initiating a slower equity join venture, financing and guarantee programs to support qualified multi-unit franchisees of our Cambria Suites in Extended Stay, in the top markets in this country. This is on top of already strong growth continuing from established brands. I expect the capital deployed over the next several years in these programs to generate growth in these brands and solid financial returns. Because our strong balance sheet and business model, we are well position to sport these types of programs, we’ll also continue to return significant capital to our shareholders overtime through share repurchases and dividends. On the international front, we have more than 1100 hotels open with density in some good markets and a growing infrastructures sport these hotels. There are a number of markets in which we are heavily distributed today, where we can grow successfully. We will focus on and go to the market areas where we can achieve significant profitable growth. Once we call today relationships in these markets in which I’ve got experience with the number of major developers. I believe we can accelerate our international growth. In summary, during my short time here the excitement and enthusiasm that I have arrived with for our brands or people and our long term growth prospects has only continued to increase. Now, let’s share my initial thought on the business and the opportunities, let’s discuss our second quarter results, which we reported yesterday after the market close. Domestic unit growth was strong for the second quarter 2008 with the number of units online increasing by 6.2% from June 30, 2007. Domestic RevPAR increased 0.7% and the domestic system light effective royalty rate increased 6 basis points for second quarter compared to the same period in the prior year. The improvement in these key drivers was a key catalyst for royalty growth of 8% in the second quarter of 2008. Our franchise sales results from the third quarter were also strong. We executed a 198 new domestic hotel franchise contracts in second quarter of 2008 an increase of 13% compared to last year. Overall year-to-date new domestic hotel franchise contracts executed increased 15% to 331 units compared to 287 in the same period of the prior year. Adjusted diluted earnings per share for the second quarter 2008, were $0.49 a14% increase compared to the $0.43 in the same period of the prior year. Adjusted diluted EPS and adjusted EBITDA for the second quarter 2008 exclude a 3.8 million after tax charge, which represents approximately 6 diluted earnings percents per share. Resulting from the previously amount acceleration of the companies management succession plan. Diluted EPS were 43% for the second quarter of 2008 compared to $0.43 for the second quarter 2007. Adjusted EBITDA increased 7% of 52.8 million for the second quarter 2008, compared to 49.5 million for the second quarter of 2007. Adjusted EBITDA for the second quarter of 2008, also exclude the pretax impact of the charge with acceleration of our management succession plan. Operating income for the second quarter 2008 was 44.6 million compare to 47.4 million for the second quarter 2007. Looking forward we expect third quarter 2008 diluted earnings per share of $0.55 and a full year 2008 adjusted diluted earnings per share of $1.79. Adjusted earnings before interest taxes and depreciation expense for full year 2008 are expected to be $196.5 million. These estimates assume domestic unit growth of approximately 5.5% for the full year 2008 and a 4% decline in RevPAR for the third quarter and a 1.5% decline for the full year 2008. They also assume a 5 basis point increase in the effect of royalty rate for full year 2008, an effective tax rate of 36.5% for the third quarter and full year 2008. Adjusted diluted earnings per share and adjusted EBITDA amounts also exclude the management succession plan acceleration charge. As you know and as reflected in our RevPAR guidance, 2008 is turning out to be a challenging operating environment and we don’t see things dramatically improving on that front for at least several quarters. However, we continue to expect 2008 to be an excellent year for unit growth, in fact, it is shaping up to be our highest organic growth rate during the last six years. Fortunately, one of the strengths of our business model is the unit growth can help offset a negative RevPAR environment. I would also reemphasize that while we have a very efficient business model, we have nevertheless put together some continuity plans that could improve the cost side of the equation over the long term in the event the environment substantially deteriorates. I have seen my share of lodging cycles and I am an optimist at heart. So, I believe like the previous cycle this portion of the lodging cycle won’t last forever and I am hopeful by that this time next year we will begin to see some improvement in the industry fundamentals and the overall economy should be stronger. I believe we are well positioned for long-term growth and value creation for our shareholders. We will continue to execute our strategy of increasing domestic market share, improving brand performance, strengthening franchise relationships and returning value to shareholders while seeking ways to accelerate global growth of our brands. I am now happy to answer any of your questions.
Operator: [Operator Instructions]. And, the first question is from the line of Steve Kent from Goldman Sachs. Please go ahead.
Steve Kent: Hi, good morning, Steve.
Stephen P. Joyce: Good morning.
Steve Kent: May be the first question is just because it’s a little bit out of the ordinary or out of what you, what Choice has historically done. The $20 million to $40 million financing program, how should we think about the returns on that relative to your core business and then may be you could give us some sense for the sensitivity, last quarter you advised, you were quite down a 100 basis points didn’t really change EPS. Now you are lowering RevPAR by 350 basis points and you moved your guidance down by $0.08 cents so, by the way your unit growth seems to be pretty good. So, I’m trying to figure out the sensitivity to those factors?
Stephen P. Joyce: Well, let me I’ll have Dave talk about the sensitivity and the impact of RevPAR on our earnings. But, in general on the capital the way that you should think about it is we’re going to make some sliver equity investments sliver debt programs to spur growth primarily Cambria and extended stay. But, it will not amount to significant dollars for the company’s balance sheet. We put an estimate on it simply to give you some guidance around it. But, we are in a process of having discussions with developers and other partners to pull this program together and with the leadtime for a new construction unit that capital will be going out the door over say the next couple of years if the program takes shape. We don’t expect that capital to get to any serious level of investment versus where the company has been in the past, we believe that we also have significant capacity available to continue with the shareholder repurchase program, the share repurchase program as well as our dividend policy. So, in general for those brands we believe some investment will help spur the growth and that the investment return for those investments will be a stronger turn that is in the realm of all what is expected by our shareholders. Dave you want to talk about the RevPAR impact.
Dave White: Sure. Yeah, Steve there is couple of things. One is in terms of RevPAR, we took down kind of our second half RevPAR guidance by, call it 400-500 basis points which translates on a full year to somewhere around $10 million of royalties and EBITDA and the other thing you have to keep in mind is from a seasonality perspective the second half of the year for us represents 56%-57% of our business. So, the second half is a little bit stronger than our first half normally. That’s why the first, our reduction in last quarter didn’t have quite as much impact on EPS as you see in this time around. The other piece of it that also incorporated in our revised guidance is we’ve seen a little of softening on the re-licensing side of things, the number of hotels, sales transactions has a fall off in the second quarter and so we would expect in light of that what’s going on there aren’t there any environment with sellers being reluctant to transact unless they are really forced to as a better financial situation or fund maturity need. To dispose property we took down the re-licensing revenues a bit as well in the second half which is the other piece that’s impacting EPS guidance for the second half.
Steve Kent: Okay, thanks.
Operator: Next we go to the line Felicia Hendrix from Lehman Brothers. Please go ahead.
Felicia Hendrix: Hi, good morning Steve and good morning Dave.
Stephen P. Joyce: Good morning, Felicia.
Felicia Hendrix: Hi. Sir, just a few questions one is on your conversion rates it looks like they were as a percentage of these total new contracts in the quarter looks like conversions of about 63.6% and that was up slightly from 69.4% last year and I am just wandering regarding that would you expect that percentage to grow over the next few quarters with the rate that you, a slight increase in the quarter consistent with expectations or is that lower then what you would have expected and I am also wondering where that has been in past discussions?
Stephen P. Joyce: Yeah, in the past what we have seen when we hit a enlarging down cycle is a lift in the conversion side of things on terms of executed contracts. So, I think we are optimistic that we’ve got a great package for hoteliers who are looking to affiliate their hotels with brands in the mid scale space where we predominantly compete. So, we are optimistic that’s if the trends we are seeing in terms of RevPAR continue that you would continue to see some improvement in our conversion brand results. So that’s we think one of things that really attracted about our model is in fact that we have got brands for construction and brands for conversion of hotels. So, we can kind of play it both side to the cycle. So, it certainly in the last go around in the logic down cycle we saw a lift in terms of conversions and we’re optimistic that we can see that go on board with our conversion brands.
Felicia Hendrix: Are you seeing anything now that would indicate to you in the second half you’re going to see that number be higher?
Stephen P. Joyce: It’s hard to say exactly what will happen in the second half but I think over the course of this kind of weakness in the lodging cycle we would expect that conversions would be of higher percentage of executed contract volume that over the past couple of years when we have been in a strong new construction environment.
Felicia Hendrix: Okay. And then just living on to royalty rates, Steve explained why those have gone in the quarter. I am just wondering, as you are negotiating with new franchisees, are you getting any kind of push back regarding the contract terms that you are presenting to them. In other words in this environment do you really have more negotiating power than you had in the past?
Stephen P. Joyce: We had not seen any material change in either how we position our brands pricing wise or in the level of push back. In the end, in a lot of cases this is an opportunity for franchisee to brand with a stronger either coming from an independent or brand with a stronger brand which will provide more revenues to them which gives us pricing power. I assume given the economic times that negotiation may get top of it but we don’t any plans on allowing our franchise royalty effective rate to decline and in fact, we got some major focus of the company to try to push that effective rate up.
Felicia Hendrix: Great, okay. And then, just a final question is on your pipeline and you gave us the specifics on that book, under release and in your prepared remarks definitely seeing rather robust, I am wondering, are you seeing anything that would put your expectations at risk for pipeline growth?
Stephen P. Joyce: For 2008 Felicia, we were pretty well, we have had the really good understanding of the exactly what’s going to come on line because obviously it’s a new construction project, it is pretty far along at this point and the conversions, we’ve got, you don’t see anything there that causes to take up ratio of openings to new contractors has changed in all and in a meaningful way. So, I think we feel very good for the balance of ’08 about that and ’09 that kind of passed the trends have continued and we would expect that we can continue to execute on our strategy of growing our market share in the US market through kind of stronger conversion focus perhaps next year. But, we will continue to move along on the integrated side of things. We haven’t seen anything maturely change in terms of trends that on the pipeline causes to have any major concerns about it.
Dave White: And then, in addition to that on the new unit growth side, it’s the upper end of our brands particularly for Cambria, we are seeing pressure on getting us deals done, which is why we want to work with sort of multi-unit developers who are pre-optimistic about this is the right point in time in a cycle to development and give them some minor incentives to do our brands to help keep those growth rate healthy as well.
Felicia Hendrix: Okay, thank you.
Operator: Next we’ll go to the line William Truelove from UBS. Please go ahead.
William Truelove: I have got several questions. The first question is regarding the $20 million to $40 million in the lending program. Is that going to be in annual $20 million to $40 million or is that a one-time $20 million to $40 million.
Stephen P. Joyce: No, that was an estimate of an annual amount that could carry on for a couple of years.
William Truelove: Okay. In terms of spurring growth of the pipeline, you just talked about how strong the pipeline was growing. So, what’s the big hiccup, because I also have here the Cambria connection what do we guys send out the June addition and I am looking at the back of it and I’ve got a map of all the new Cambria suite there is 50 executed franchise agreements upon counting on these dots correctly and 10 on the construction. So, it seems like you have got plenty of growth in the Cambria Suites brand, why do you need to do this program?
Stephen P. Joyce: The answer is there is actually, there is quite a bit more in the pipeline then that I think we’re in the 70’s range. But, the answer is that because of financing environments, those are equity requirements because of the uncertainty in the market while that pipeline is very strong and we’re seeing the openings corresponding to that pipeline begin to come through. The growth rate has slowed given the pressures out there and so what we want to do is we want to make sure we maintain and build on that growth rate so that we can build a pipeline that will give us a nation wide distribution and therefore give us brand identity and ability to really to take on the other brands in that space.
William Truelove: Okay, great. Thanks, that’s all the questions I have.
Operator: Next we move to line of David Katz from Oppenheimer. Please go ahead.
David Katz: Hi, Good morning.
Stephen P. Joyce: Good Morning, David.
David Katz: Are you, I know, you made a comment earlier in response to some of the questions about holding your royalty rates in your contract terms. Are you seeing any of your competitors that are giving way to that end that are perhaps, under cutting or pricing down any deals and is that impacting your contracts sales at this point?
Stephen P. Joyce: Yeah, we have seen some discounting and some incentives by other development companies but we believe given our position and the positioning of the brands that we do not need to discount to remain competitive it’s always a discussion in the market place. But, right now, we are focusing on trying to move effective rate up not discount.
David Katz: Got it. And, this program that you’re doing specifically with Cambria, has there been any thought given to doing something like that internationally or more of that internationally, I know there have been efforts to sort of get your international foot print going, but obviously that’s a process over years, is there anything you can do to move that along a little faster?
Stephen P. Joyce: Yeah, I think what we are going to do this fall is we are evaluating our overall international strategy and where maybe additional resources might provide the right kind of returns and accelerated that we are looking for. But, right now, my general view is we have got international presence there has been great job of kind of moving forward for having a good year internationally as well based on both some restructuring and some relationships and also those markets performing better than US. And what want to do is build on that, we probably looking late fall or early next year to put in overall strategy in place and then what resources are required at that time.
David Katz: Right, perfect. And then, one last quick one is there any sort of legal reason out there that would cause you to not buyback -- have brought back any stock in the last quarter plus July. Is that all investment decision?
Stephen P. Joyce: This is my first call and you’re making me very nervous but I believe the answer to that is, no.
David Katz: Okay, I’m off sir. Thank you very much.
Operator: And next we go to the line of Jeff Donnelly from Wachovia. Please go ahead.
Jeff Donnelly: Good morning, well Steve you’re doing a good job with your first call.
Stephen P. Joyce: Thanks.
Jeff Donnelly: Actually you want to test on this (inaudible) but I just missed it. But I guess, I am curious, are you effectively conscious in trying to change double phase of Choice’s typical developer through this funding program, I think the average Choice franchise typically had one to two unit whereas you’re former employer, I think as long trying to align of more multi unit developers.
Stephen P. Joyce: We are having to have crack that strategy and I’m very familiar with it. The answer to that question is yes. Because at the upper end where Cambria plays that is a significant investment which is a challenge for a number of our existing franchisees and in addition to that the operating level that hotel is at higher point and Choice is traditionally done. So, yeah we are looking to attracting new class of franchisee to do Cambria. Now having said we got a number of franchisees that have done comfort suites and other products they are going to do Cambria with us as well. But, we expect to expand our franchise relationship to in that brand and also in the extended stay brands to a larger more multi unit franchisee that can put us in the top markets and that’s really the goal of our program.
Jeff Donnelly: You know, I guess the key mining concept is somewhat common place in the full service end of the business, is that common in the eliminate service end, I mean are you seeing what other guys are trying with their brands at the last and whatever?
Stephen P. Joyce: Its been in and out of use bites, brands in the moderate not upscale tier, its typically in times when either the brand needs to be pushed or the economic environment requires some incentive so, its been done before and the key to it is versus the key money investment this allows the company to actually earn a return for the money put out and also to help which is a big issue on the financing because as you know the relative levels of leverage have dropped and the developers are struggling to make their cab stack work given the increased levels of equity required and an incentive of smalls lower bits can be a meaningful motivator in this space at this point.
Jeff Donnelly: I know this is simplest sideway of looking at it, is that not enough to really make a meaningful difference because as you again, hypothetically to spread it across, your whole pipeline of only $500 per room?
Stephen P. Joyce: Well, let’s be clear, its not going over the pipeline, its going for new deals that are going to go into the pipeline and so yeah, in an environment like today, a 5% or 10% addition to the capital stock can make the difference between making a deal or not.
Jeff Donnelly: And just one last questions and can maybe to that point you could help put us in the shoe that the typical developer franchisee is, to understand what you’re thinking because you to a point on one hand you have construction cost up and financings more restrictive and you’re not giving the profit to offset those challenges but yet you continue, I guess contracts grow, I mean not just a Choice but some of your competitors as well, I guess what do we missing as this is disconnect out there between, you continue to see the pipeline for construction projects and maybe its getting backed up a bit but when do that end and I guess do you think that there is risk to everybody’s 2009, 2010 completions because of challenging financing market for constructions?
Stephen P. Joyce: Well, presumably the nines are significantly backed because the lot of those projects would already have to be under construction. But in general, that developer sentiment at least the folks that I am talking to they’re building for the upturn. They think if they start a project now and opens two to three years now, there are going open into an up market. You got historic levels of pipeline across the lodging industry, I think, whether or not think the rate of actual hotels coming from that pipeline I think you might see some change to that. In our pipeline there because we have a lot of conversion those are relatively that those are going come in and out of that pipeline relatively quickly and on the new built side we monitor very closely the construction sites so we know what will be coming and I think that general sentiment is while the financing market are bad, construction cost with the exception of couple of materials, they are important have stabilized the demand for land has stabilized. And so, where you are seeing a year ago a developer doing a deal on having to go through five to six value engineering exercises before they could actually begin a project. The relative ability to predict what your costs are today and the relative availability of building service, contractors is better. So, the building environment, ignoring the financing arena is actually better than that’s been in a while and why you have to be somewhat of a contrary at this point to believe that you’re building to the up cycle in terms of the folks that I have been talking to their general belief if I open a hotel two to three years from now, I think business is going to be strong and I am going to be able to take advantage of it with a new product.
Jeff Donnelly: It’s helpful. Just one last questioned maybe it’s a bit opened ended but I guess are there any other best practices you might be bringing to Choice in addition to effectively that what you’re sort of announcing today?
Stephen P. Joyce: Well, I think that you having spent 26 years at Marriott there is clearly a number of lessons that I picked up over the years both in terms of how company should be run, the importance of the talent of management, the importance of strong brands, importance of you know of staying disciplined and focused in Marriott in spite of a couple of big deals it is a unit by unit growth company. All of those things I’m happy to report have fallen inherent in this company and so my view is I am simply sure on picking of on what’s been done in the past and utilizing my Marriott experience which doesn’t require significant changes here because most of those principles are already deployed here.
Jeff Donnelly: Great, thank you.
Operator: Next we go the line of Joe Greff from JP Morgan. Please go ahead.
Joe Greff: Good morning. From the developers perspective what are the anticipatory returns for Cambria, how does that compare with some of the other brand, how does that expected return compare to say three years ago?
Stephen P. Joyce: In this space typically they are looking for un-levered returns sort of in excess of 10% and 10.5%, usually above those levels it starts to get their interest, Cambria is well within those ranges.
Operator: Mr. Greff anything further?
Joe Greff: I am all set, thank you.
Operator: Thank you and next we go to the line of Michael Millman from Soleil Securities. Please go ahead.
Michael Millman: Thank you, I guess following of on a number of questions, I was wondering to the extent that you are getting larger maybe more sophisticated builders and putting a hand and talking about tough markets. Are you creating a force for negotiating better deals that you haven’t had to deal with in the past? Secondly, are you creating more volatility by having more concentration in this same market to everyone else? And so related to that may be you can talk about RevPAR on a comparable same-store basis it looks to me that RevPAR is being in fact, hurt if you will by conversions growing the lower RevPAR properties faster than higher RevPAR properties.
Stephen P. Joyce: Well, let me start with the first question. Yes. Our belief is that as we build Cambria as a strong brand that will increase our leverage with developers. As it relates to the RevPAR changes that’s not the way the company views the opportunity, the way we view the opportunity is brand by brand in that space to grow market share and at the mid shifts somewhat we all of our brand positioning provide profitable growth because of our base of royalties. You get more royalties obviously out of the bigger high RevPAR hotel. But the companies positioned over the years and will continue to be as that we have got brands that perform in a number of the segments and growing them all to increase market share while maintaining the strength of the brands is what makes Choice special. Now you had two or three other in there, I don’t think I caught them all.
Michael Millman: I think you kind of captured it, which you’re making sure that these brands they probably segregated from the RevPAR perspective relative of each other and relative to the competition where they are competing against. And you also talk a little bit the pipeline, I looked if I did the arithmetic properly it looked it was a major deceleration of growth that was only up about 6%, I am not sure did that number correctly but may be you can comment on that and related international look like in fact the number of rooms and hotels actually declined and may be you can comment on that?
Stephen P. Joyce: Yeah. And I’ll take the international side first, the decline in the number of hotels internationally is consist when we saw last quarter and that primarily had do deal with some things that we did with the brands down in Australia where there was some fairly large number of kind of smaller hotels that left the system plus there was a little bit of clean up in Europe as result of our changes in our franchising structure there. Now, on the flip side we did open I think last quarter two very large hotels in Europe with one of our Scandinavian partner, which I think in Parag and one Stockholm. So, two of the largest hotels in those city. So, in terms of the other question in terms of the pipeline what I would say is the way of growth in terms of the number of executed contracts is probably decelerated little bit what you have seen in the last couple of years but still strong growth I mean the pipeline obviously reflects the number of different things reflects, the contract that get executed as well as the hotels that are opened at least we have had a strong year in terms of gross openings this year relative to last year. So, you have got a lot of gross openings that are coming out of the pipeline, I mean and obviously the other factors is kind of fall off of transactions that ultimately don’t open, which you have some probably little bit higher then it was last year. But, no balancing we think its still a great pipeline and really supports our belief of the developers, value our brands in one of the way with our distribution channels.
Michael Millman: Finally on the $20 or $40 million per year incentive do you look to get a good return on that separate from the benefit of boosting up your growth in Cambria Suites and extended?
Stephen P. Joyce: Yes, we do.
Michael Millman: And what returned PO financial return are you expecting.
Stephen P. Joyce: I think its going to depend frankly on a deal by deal basis and whether or not its an equity participation or debt guarantee or debt type participation, mezzanine type participation. So, just going to pen deals idea obviously we are going to be really careful and really choosy about what we do, those types of programs, where they’re going to have to able to demonstrate the ability to do multiple units in these kind of upper end brands and obviously we are going to have to tell very good about the underwriting of each these boats and in all most cases its going people that either Steve has done business with them or the company has done business with them in the past but there will be obviously returns on the equity and debt deployed there.
Michael Millman: Thank you.
Operator: We go back to the line of David Katz from Oppenheimer. Please go ahead.
David Katz: I think all of mine have been generally answered by. If I can just follow, no I think I am offset, I know, I will catch you offline, thanks very much.
Stephen P. Joyce: Thanks David.
Operator: We have question for a line of Alex Leblanc from Key Colony Funds. Please go head.
Alex Leblanc: Yes, thank you. I am just kind of curious when I first start following this story and we bought it about a year ago, I was some of discussion came bad about the balance sheet and some might become for what 3 to 1 ratio that EBITDA and also about the emergent all in properties and I just feel like current is changed and did I miss some?
Stephen P. Joyce: No there has been no change that is exactly our position today, none of that is had question or in terms of strategy change the only thing we were doing as rather than key money and some other incentives that we put out, we are putting it more in formalized program that gives attractive to these multi unit developers.
Alex Lablanc: Thank you.
Operator: Speaker sir, there are no further questions, you may continue.
Stephen P. Joyce: Thank you very much for your time and attention, And we’ll look forward to talking you about future progress in the next quarterly call.
Operator: Ladies and gentlemen, this conference is available for replay after 11:30 am Eastern Time today through August 29th at midnight. You may access the AT&T executive replay service at anytime by dialing 1800-475-6701 and entering the access code of 929-522. International participants may dial 320-365-3844. Again those numbers 1800-475-6701, and 320-365-3844, with the access code 929-522 and this is available for replay after 11.30 am Eastern Time today through August 29th at midnight. And that does conclude your conference for today. Thank you for your participation and for using AT&T executive teleconference. You may now disconnect.